Operator: Good day, ladies and gentlemen, and welcome to the Fourth Quarter 2012 CF Industries Holdings Earnings Conference Call. My name is Tony, and I'll be your coordinator for today. [Operator Instructions] I would now like to turn the presentation over to the host for today, Mr. Dan Swenson, Senior Director of Investor Relations and Corporate Communications. Sir, please proceed.
Dan Swenson: Good morning, and thanks for joining us on this conference call for CF Industries Holdings, Inc. With me today are Steve Wilson, our Chairman and Chief Executive Officer; Dennis Kelleher, our Senior Vice President and Chief Financial Officer; Bert Frost, our Senior Vice President of Sales and Market Development; and Tony Will, our Senior Vice President of Manufacturing and Distribution. CF Industries Holdings, Inc. reported its fourth quarter 2012 results yesterday afternoon as did Terra Nitrogen Company LP. On this call, we'll review the CF Industries results in detail and discuss our outlook, referring to several of the slides that are posted on our website. At the end of the call, we'll host a question-and-answer session. During this call and in the associated slides and our earnings press release, we make reference to certain adjusted or as-adjusted financial results. These adjustments relate to the modification of the selling price methodology used for products sold by Canadian Fertilizers Limited, or CFL, which was made -- refer to the selling methodologies for products sold by Canadian Fertilizers Limited. Modification was made in connection with CF Industries' pending acquisition of the outstanding interest in CFL. This modification impacts the comparability of the financial results between 2011 and the 2012 periods. To facilitate period-to-period comparisons of the company's underlying operating performance, we are presenting a certain financial information on an adjusted basis as if the modified selling price calculation methodology had been in effect on January 1, 2011. Please refer to the exhibits and reconciliation in the press release or on Slides 12 to 14 of the presentation accompanying this call. These adjustments impacted revenue and gross profit but did not affect CF Industries' economics, its earnings or its earnings per share. As you review the news releases posted on the Investor Relations section of our website at cfindustries.com and as you listen to this conference call, please recognize that they contain forward-looking statements as defined by federal securities laws. All statements in the release and on this call, other than those relating to historical information or current conditions, are considered forward-looking statements. These forward-looking statements are subject to a number of risks and uncertainties, many of which are beyond our control and which could cause actual results to differ materially from such statements. These risks and uncertainties include those spelled out in the Safe Harbor statement included in yesterday's news release and the slides accompanying this call. Consider all forward-looking statements in light of those and other risks and uncertainties. Do not place undue reliance on any forward-looking statements. Now let me introduce Steve Wilson, our Chairman and CEO.
Stephen R. Wilson: Thanks, Dan, and good morning, everyone. Last year, during our fourth quarter earnings call, I stated that we expected 2012 to be a great year, and it was. Looking at just about any metric, whether operational, financial or strategic, we generated exceptional results. We set full year records for sales volume, revenue, EBITDA, earnings and earnings per share. Using the flexibility of our production and distribution system, our employees made sure that our products were in the right place at the right time to meet our customer commitments. In meeting those commitments, we generated great results for shareholders. Despite a heavier-than-average turnaround schedule that reduced our available production volume, we shipped record full year volume of 15 million tons in 2012. This record reflects the ingenuity and skill of our team who did a terrific job of managing our inventory. Capitalizing on the inherent advantages of our ammonia distribution system and the hard work of our team, we set a full year ammonia delivery record. Attractive nitrogen economics helped us obtain several financial records for the year. These included full year revenues of $6.1 billion, EBITDA of $3.3 billion, net earnings of $1.8 billion and earnings per share of $28.59. We also generated record operating cash flow of $2.4 billion. We returned a significant portion of that cash to our shareholders in the second quarter by completing the $1.5 billion share repurchase program we put in place in August 2011. We bought a total of 9.6 million shares under this program at an average price of $156.80 per share and completed it in less than one year. Cash generation capacity of our business gave us the confidence to make the bold strategic commitments we announced last year. First, we entered into an agreement to purchase the remaining 34% interest in CFL, the entity that holds our Medicine Hat Alberta Nitrogen Complex, for approximately CAD 900 million, and we're working our way through the regulatory approval process as we speak. And our board authorized a new $3 billion share repurchase program, which extends through December 31, 2016. While we didn't repurchase any shares under the program during 2012, our track record of past execution of share repurchases support our commitment to this program. And finally, we announced and are moving forward with $3.8 billion of capacity expansion projects in Louisiana and Iowa, which, upon completion, will increase our marketable nitrogen volume by more than 25% to 8.5 million nutrient tons by 2016. These actions are grounded in disciplined and rigorous analysis and represent smart choices that we believe will contribute to long-term shareholder value. Yesterday afternoon, we announced our fourth quarter 2012 financial results, including record fourth quarter earnings of $471 million and EPS of $7.40 on total revenues of $1.5 billion. Our Nitrogen segment generated very strong results last quarter, with adjusted gross margin at $750 million on adjusted sales of $1.4 billion. Sales volume of 3.3 million tons was a result of healthy demand for all nitrogen products, especially ammonia, and adjusted gross margin increased from last year, reflecting the benefit of low natural gas cost. During the fourth quarter, we experienced strong ammonia demand across Iowa, Illinois and Indiana as weather alleviated moisture concerns there, and the dry conditions in Nebraska and Kansas did not have as much impact as expected. We dealt effectively with logistical challenges created by low water levels on the inland river system by capitalizing on our end market production points and our access to ammonia pipelines, river transportation and several rail systems. In doing so, we achieved quarterly delivery records at 6 of our 21 ammonia terminals. We had low ammonia inventory levels throughout the quarter, even hitting an all-time low since the combination of CF Industries and Terra. And our low year-end ammonia inventory position reflected tight industry-wide supply, strong fall demand and gas curtailments that have impacted some offshore producers. Our adjusted average ammonia selling price was $640 per ton, 5% higher than a year ago. Seasonal slowness characterized the fall urea market, although high Chinese export volumes weighed on global urea prices. We saw high-cost offshore producers, again demonstrate rational economic behavior in response to these prices. When prices reached what we believe are those producers' breakeven points, they shut down plants and took turnarounds, which helped balance the market. While our urea volumes increased slightly, our urea prices did decline to an average of $401 on an adjusted basis. But as we've communicated before, this is a price at which we still earn a very attractive margin. UAN demand was very strong in the fourth quarter of 2011, which created a tough year-over-year comparison for us this past year. While our UAN prices and volume were lower in this year's fourth quarter, they were still at levels that reflect healthy demand. And I'm pleased with the way our UAN team performed this year as they have positioned us very well for what we believe will be a strong 2013. The low price of natural gas enabled us to capitalize on our strong revenue performance to deliver another quarter of great earnings. Thanks to the decline in our gas costs, our Nitrogen segment's adjusted gross margin increased from $742 million in the fourth quarter of 2011 to $750 million in 2012. The decline in natural gas costs attributed to the rapid growth in shale production has led to the advantaged cost position of North American nitrogen manufacturers and has sparked a renaissance in North American industrial activity. Our Phosphate business generated fourth quarter gross profit of $36 million on sales of $256 million. Gross profit and sales were down from a year ago as the international phosphate market was weaker during this year's fourth quarter due to limited buying activity in South America and India. Adding to market weakness was a higher level of supply as phosphate producers operated at higher rates. While these factors contributed to a weaker pricing environment, we did see strong North American sales volume as farmers applied nutrients in preparation for the high number of acres expected to be planted in 2013, as I'll discuss later. We're delighted with the successes we realized and the results we generated during 2012. Record financial results, exceptional operating performance and a tightly focused capital allocation strategy supported strong CF Industries stock price performance in 2012. Dennis will now walk through more specifics of our financial results, and then I'll provide my thoughts on how we're positioned to make 2013 another successful year.
Dennis P. Kelleher: Thanks, Steve, and good morning, everyone. For the full year 2012, CF Industries had net earnings of $1.8 billion on sales of $6.1 billion. Fully diluted earnings per share of $28.59 included noncash mark-to-market gains on natural gas and foreign currency derivatives, accelerated amortization of capitalized financing fees related to the termination of the company's prior credit facility and a gain from a reduction in employee postretirement benefits. Together, these items increased earnings per share by $0.67 for the year. EBITDA for 2012 was $3.3 billion. Our fourth quarter net income of $471 million or $7.40 per share included mark-to-market gains of $13.1 million before taxes or $0.13 per share after tax. Our fully diluted earnings per share was a fourth quarter record, as illustrated by the red boxed bars on Slide 5. As Steve noted, our Nitrogen business performed very well in the fourth quarter. Slide 7 shows that we had adjusted nitrogen sales of $1.4 billion, down from the fourth quarter of 2011 on volume that was about 2% lower. Segment adjusted gross margin of $750 million was 55% of sales, 3 percentage points higher than in the fourth quarter of 2011 due to lower natural gas costs. Our average adjusted ammonia price per ton was up 5% year-over-year. Our average as-adjusted urea price per ton was down 6%, and our average UAN price per ton was down 13%. The Nitrogen segment had sales volume of 3.3 million tons in the fourth quarter. Declines in UAN and AN were offset partially by increases in ammonia and urea. Ammonia sales volume was up due to strong demand and favorable weather conditions, and urea volume increased slightly over last year. UAN volume was down due to plant turnaround activities and the decision to shift production mix to increase higher-margin ammonia sales. And volume was down due to plant turnaround activities. For the full year, the Nitrogen segment had gross margin of $2.9 billion compared to an adjusted $2.4 billion in the prior year. As a percent of sales, gross margin increased to 57% in 2012 from an adjusted 50% in 2011. The Phosphate business had fourth quarter 2012 revenues of $256 million, which was essentially unchanged from last year. Sales volume of 509,000 tons increased 16% from 2011, which was offset partially by a 14% decline in the combined average selling price per DAP and MAP. Domestic sales comprised 72% of our phosphate sales volume in the quarter. Phosphate segment gross margin was $36 million in the fourth quarter of 2012 compared to $79 million in 2011. The decline in margin was due to lower selling prices and higher phosphate production costs. For the full year, the Phosphate segment generated $200 million of gross margin on sales of $1 billion compared to $332 million of gross margin on sales of $1.1 billion in 2011. The decline in gross margin and revenues was due primarily to lower average selling prices in 2012. We continue to have a very strong balance sheet. With $2.3 billion of cash as of December 31, 2012, total debt-to-EBITDA of less than 0.5x and investment-grade credit ratings, we have ample liquidity and the ability to access the debt capital markets, if needed, to finance our strategic capital allocation priorities. Now let me turn it back to Steve.
Stephen R. Wilson: Thanks, Dennis. As we move further into 2013, global agricultural market's nitrogen supply and demand dynamics and natural gas prices continue to provide reasons for us to be optimistic. Crop economics around the world support our expectations for a great 2013. Tight stocks-to-use ratios and the resulting high crop prices, especially for corn, are expected to cause farmers across North America, Europe, Ukraine and China to plant large acreage to grains. These planting expectations are driving strong global demand for nitrogen fertilizers. We expect the U.S. farmers to plant 97 million acres of corn. This should result in strong domestic demand for nitrogen in all its forms. We saw that demand reflected in ammonia shipments this past fall, and demand this spring should continue to support ammonia pricing. The Midwest ammonia market is expected to remain tight for the immediate future as inventories remain low. Several factors are contributing to tight conditions in the UAN market. Overall, northern hemisphere demand for UAN is expected to be robust. Strong nitrates demand in Europe is limiting the flow of UAN exports to North America. Domestic production has been lower than in recent years due to turnaround activity and unplanned outages. Additionally, the startup of 2 expansion projects from which buyers were expecting to obtain UAN have been delayed. Limited imports, lower production rates and low inventories lead us to believe that the North American market for UAN will be tight during the first half of 2013. As spring urea demand emerges, we expect to see favorable pricing conditions develop, especially as we move into the second quarter. Domestic production was off about 15% this fall, and despite higher imports, inventories are below year-ago levels. The tight supply of ammonia and UAN also suggests a strengthening in the domestic urea market as we move through spring. Overall, the global nitrogen market is expected to be in a balanced to tight position through the first half of 2013, given strong demand and limited supply due to the delays in new capacity coming online and gas curtailments impacting nitrogen production in several countries. Although the phosphate market has been seasonally weak this winter, we expect it to improve as the spring demand picks up in North America and as India works through its current phosphate inventories and returns to the market. Additionally, a continuation of high soybean prices should support a large planting in South America and create additional phosphate demand later in the first half of the year. We realize a significant and sustainable advantage as a consumer of North American natural gas. Natural gas availability is far from assured in many regions of the world as we've seen gas curtailments impact several offshore nitrogen producers. We have hedged about 90% of the gas needed for our anticipated nitrogen production needs through April, and most of those hedges are call options that have our cost capped at well below $4 per MMBtu. The U.S. Army Corps of Engineers has been very responsive and active in keeping the Mississippi River open for barge traffic. We appreciate their attention to this critical national resource. However, we have taken steps to be prepared if system conditions deteriorate again. We've analyzed various scenarios and positioned our rail fleet to be able to respond to changing logistical conditions. No other producer or importer has the optionality that we have, including in-market plant locations, multiple storage sites and access to transportation, including rail, truck, barge and pipelines. Our customers recognize our dependability, and we will continue to earn their trust by delivering our products on time where they are needed. We're off to a fast start on our capacity expansion projects. I'm pleased to report that we have applied for our air permits in both Louisiana and Iowa. And as of February 15, a total of $480 million has been spent on or committed to these 2 projects. For all of 2013, we expect to invest between $1 billion and $1.3 billion on capital expenditures for these projects in addition to the $450 million we expect to spend on normal maintenance and existing plant investments. We'll provide updates on these projects as we reach other key milestones. We have a well-established track record of achieving our strategic objectives, and I believe that track record has been a key driver of the value we've been able to create for shareholders. We are confident in the strength of our business model and look forward to continuing to invest in the business in the years to come in order to create even more value for our shareholders. With that, we'll now open the line to answer your questions. Tony, would you help us with that, please?
Operator: [Operator Instructions] Your first question comes from the line of Don Carson of Susquehanna Financial.
Donald Carson - Susquehanna Financial Group, LLLP, Research Division: Steve, a question on capital allocation. I know you've stated in the past that you don't want to go to the MLP route or even expand the Terra Nitrogen partnership by adding a plant or 2. But I noticed that many of your peers have moved away from the former 1% yield cap that appeared to exist in the fertilizer sector, and yet many of them have significant capital expenditure plans as well. So I guess with nitrogen having probably the best outlook of the 3 nutrients, any plans to move your dividend yield on a recurring basis beyond the 76 basis points? And how do you think of the ongoing dividend yield in terms of return of capital to shareholders?
Stephen R. Wilson: Well, we look at our capital structure on a regular basis, and we do it systematically in discussions with our board, at least, annually. And I'm frankly very proud of our track record in this regard. We've bought a total of $2 billion worth of our stock back in a couple of programs. We have, I think, once quintupled our dividend and, again, quadrupled it. But frankly, I think a nitrogen fertilizer stock is never going to be a yield stock. We came to the conclusion last summer that -- and some of those results from talking to shareholders that buying shares back is the best way for us to return cash to shareholders. We have a $3 billion program in place, and we're very comfortable to have that in place, and we look forward to future reports on progress against that.
Donald Carson - Susquehanna Financial Group, LLLP, Research Division: One follow-up, Steve, and that's on -- just how you see the spring unfolding. We've got an ongoing drought here. Do you think that causes a shift from ammonia application to UAN? Is that one of the reasons why you're so positive on the UAN outlook this spring?
Stephen R. Wilson: Bert, would you handle that one, please?
Bert A. Frost: Sure. Regarding the drought, it's correct. There has been a shortage of moisture throughout the Midwest. But if you look at the average moisture from February through April that we should be receiving, the one state that would be negative on a percent of normal precipitation would be Nebraska, at about 120% to 130% needed to get back to normal. The other states, the I states, Indiana, Illinois, Ohio, not an I state, but are actually net positive. Iowa, Minnesota, Kansas need about 80% of normal to get back to a sustainable moisture basis. So when you look at that situation across the board, it's fairly positive, Nebraska being a pivot state, so we think that will go well towards ammonia. But your second point on UAN, that is why we're positive. Because with inventory levels being low, demand being high, the net fallback to UAN should be very positive. But inventories are low for all products, except for the importation of urea, and so we believe the fallback product for N will be urea, and we need the imports that have come in to date. So for that reason, we're net positive, all the end products.
Operator: Your next question comes from the line of Vincent Andrews, Morgan Stanley.
Vincent Andrews - Morgan Stanley, Research Division: Steve, could you talk a little bit about sort of the forward order books to the extent that you're comfortable with that? I guess what I'm asking is just at this time last year, you mentioned that because of the sort of turmoil in the fourth quarter, you guys have sort of actively chosen to sell a lot less forward than normal. Can you give us a sense of where we are, at least relative to last year, and then any other general comment you can make about it?
Stephen R. Wilson: Bert?
Bert A. Frost: Yes, relative to last year, I think we're in a solid position on all the end products. And the previous question, UAN is high-demand, and for the reasons we articulated earlier in the call, the pricing will be positive through June for this current crop year. And our order book is -- we're pleased with where we are. We see demand for each of the products, some regionally greater than others, but we are positioning our products today to achieve similar or greater levels of demand through June.
Operator: Your next question comes from the line of Kevin McCarthy of Bank of America Merrill Lynch.
Kevin W. McCarthy - BofA Merrill Lynch, Research Division: Steve, a question on your pending projects at Donaldsonville and Port Neal. I was wondering if you can give us a sense for the mileposts coming up in future quarters? I think you mentioned you had applied for air permits. Perhaps you could shed some light on how long that might take and when we might break ground and what the capital budgets are looking like in terms of E&C cost trends and that sort of thing for each of your key projects here?
Stephen R. Wilson: Well, we're very pleased with where we are. We have great momentum. We have 2 good teams put together. We have, actually, a team that's living in Germany to make sure that we get all the engineering stuff done right. We have filed for the 2 air permits. Those are very important gating items that are really necessary before we can start major construction activity. We're hopeful that we will be able to begin to move dirt and drive pile sometime this summer. But certainly, we don't control both ends of that process. We only control the submission and then the response to questions that comes along with that. With respect to the situation on equipment orders and so forth, I'll have Tony go through just a snapshot of what sorts of things are on order.
W. Anthony Will: Yes. So we've ordered the rotating equipment and most of the high-pressure equipment for the both ammonia plants, both urea plants and the nitric acid plant. I think we've spent, as Steve mentioned, about $480 million all told thus far.
Stephen R. Wilson: Spending and committed.
W. Anthony Will: Spending and committed. And we're expecting to spend somewhere in the range of about $1 billion to $1.3 billion in total through the balance of this year.
Kevin W. McCarthy - BofA Merrill Lynch, Research Division: Okay. And then as a follow-up question, you referred, Steve, in your prepared remarks to some of the curtailments of natural gas supply that are occurring in other markets. And I was wondering if you could give us an update on your thoughts there and how things have changed in Egypt and how long we might likely see curtailments in Trinidad impacts on the supply side of the global equation.
Stephen R. Wilson: Well, in terms of what's going on in North Africa, I think probably, everybody on the call has equal knowledge. There's turmoil and disruptions caused by political issues and some physical issues, and they don't seem to have been resolved. There's an ongoing issue in Pakistan with limitations on gas supply. With respect to Trinidad, there've been comments made by the national gas company that they have solved their supply problem and will be back to what used to be normal. We have to wait and see whether that's actually going to happen. With respect to our own situation, while we like our Trinidad operation and it's a significant supply source, the most significant supply source for our phosphate operation, all of this makes us increasingly comfortable with our North American footprint, the number of locations that we have and the decisions that we've made to expand production in North America.
Operator: Your next question comes from the line of Jeff Zekauskas with JPMorgan.
Jeffrey J. Zekauskas - JP Morgan Chase & Co, Research Division: When do you expect the CFL acquisition to close, and what are the remaining impediments?
Stephen R. Wilson: Okay, Jeff, if we go back to when we made the announcement, I think we listed a few major mileposts, and we've passed maybe 1 or 2 of those. The first one was Glencore getting regulatory approval to close on their purchase of Viterra, and they were waiting for the Chinese to give the go ahead. They got that go ahead. And then the second item was the closing of that transaction. That occurred in mid-December. So while we had done our filings with the regulators in Canada, realistically, they were waiting for that precedent transaction to be completed. And now that it's been completed, they're focused on our filing with the Competition Bureau and the Investment Canada Organization. We have a good dialogue with them between our representatives and their representatives, and we're hopeful that we can get the clearance in the near future. But again, this is a situation of which we only can control one side. We are prepared to close expeditiously once we get that go ahead, and we certainly look forward to having all of CFL in our portfolio. It will simplify our operation and -- not just from the operating standpoint but also from the governance standpoint.
Jeffrey J. Zekauskas - JP Morgan Chase & Co, Research Division: If I may follow up, are there any key dates where the governmental agencies are required to inform you of a decision of theirs by a particular time, or are there any key dates for your own filings?
Stephen R. Wilson: Well, I understand the question, and I think I'm not a lawyer, but I believe technically, there are dates, but practically, they end up being extended in a way by mutual agreement of the parties because it's certainly in our interest to have a favorable outcome as opposed to meet or force them to comply with an arbitrary deadline. But we're in constant conversations, and we're hopeful we'll get results soon. But there is no specific deadline looming for this.
Operator: Your next question comes from the line of Michael Picken of Cleveland Research.
Michael Picken - Cleveland Research Company: I just wanted to touch base a little bit on kind of your outlook for some of the other parts of the U.S. and specifically, kind of the Southern Plains, Texas, Oklahoma area. I mean, how big of a market is that for you guys if the drought in that area persists, understanding that they did get a little bit of rain recently?
Stephen R. Wilson: Bert?
Bert A. Frost: Texas and Oklahoma, for corn, represent roughly 3% of the United States corn but a significant percentage of wheat and cotton. That market -- those markets starting in Southern Texas have already started with planting, and so we expect urea and UAN to be going down soon. They had a very favorable fall. The wheat dormancy should be coming out -- or coming out of dormancy soon, let's say, March, and so you'll see a top-dress application starting in late February to March. Generally, as the Southwest goes, then it progresses up through the Midwest on applications. We're anticipating a favorable application season, due to what you just said, is the moisture level that has been received. But coupled with that is the Southeast, which had higher levels of cotton and peanuts last year, which we anticipate moving more to corn, so being an additional demand on N early in the season, which should be positive for the United States.
Michael Picken - Cleveland Research Company: Okay, great. And as a follow-up, I just wanted to kind of ask, I mean, are those markets material at all for phosphate? And my understanding is they're heavier in nitrogen than phosphate.
Bert A. Frost: For us, we're seeing -- focusing on nitrogen. Yes, we are seeing them be positive for CF. The movement of product to those directions, which are not traditional markets for CF, have been greater than in the past. For that reason, you've seen us ramp up our usage of our tanks on the East Coast, as well as staffing in that area. For phosphates, we traditionally supply products in that area on an FOB basis, but we ship more out by rail and barge to the Midwest. There are other suppliers that are situated better to serve the phosphate market on the East Coast. The P market in general, we've had a lot of questions on that. We see that moving in the positive direction. We're seeing that already take place with pricing in NOLA. But the international markets, as the South American market takes off, we anticipate that to come early due to logistical constraints they experienced in 2012 and the need to replace the stocks that have been depleted. That market will probably kick off earlier. And then obviously, India with the negotiations that go on with the other market leaders, we anticipate that also to be a positive market.
Operator: Your next call comes from the line of Matthew Korn from Barclays.
Matthew Korn - Barclays Capital, Research Division: I just wanted to ask what the main factor was driving the increase in costs on the Phosphate division over the quarter, whether there was a jump in cost to Hardee or anything else and whether that's going to normalize more going forward.
Stephen R. Wilson: Well, it's largely driven by increase in ammonia price -- ammonia costs. Gulf ammonia, as you know, has been high-priced. It's come down some since the fourth quarter, but that was the main driver of that cost increase. And as far as the predictability of that, who knows? Overall, we love high ammonia prices because we sell a lot of ammonia.
Matthew Korn - Barclays Capital, Research Division: Got it. And just following up there, do you have any significant natural gas hedges beyond April this year?
Stephen R. Wilson: As of the end of the year, we had a -- go ahead.
Dennis P. Kelleher: At the end of the year, we had, just like Steve said in the text, we had 90% of our gas usage covered with hedges through the end of April. As we look out beyond April, we have very, very tiny amount of swaps, so essentially, in no material sense do we -- the answer is essentially no.
Operator: Your next question comes from the line of Ben Isaacson of Scotiabank.
Ben Isaacson - Scotiabank Global Banking and Markets, Research Division: Steve, you talked about good expectations for urea in the first half of the year. Can you just go one step further? And I know it's quite far out there, but just talk about how you see the supply-demand dynamic playing out in the back half of the year, specifically with respect to new capacity in the Middle East, as well as with Chinese exports.
Stephen R. Wilson: Well, I think if you went back and you looked at our results releases for the fourth quarter, probably in every year since we've been public, we are loathe to comment on the second half of any upcoming year. And the reason for that is that we haven't even started the spring yet. We don't know what the weather patterns are going to be. We don't know which products are going to be in demand. And most importantly, we don't have a good way of projecting what the end of the season inventories will be product by product by product. So the second half of the year is driven in large part by what the inventory positions are coming out of the planting season and, of course, the expectations going forward. And so the quality of the crop that's in the ground, the projected yield, the economics for farmers for 2014, all of those things have impacts on the second half of the year. And we have a tough enough time trying to figure out what's going to happen in the next 4 or 5 months as opposed to the next 10 to 12 months. With respect to capacity coming on in other parts of the world, 2012, I think, was a good demonstration of how difficult it is to bring on new capacity, certainly, in some parts of the world. A number of projects that were penciled in by industry observers as coming on in 2012 were deferred into 2013. There's obviously a high likelihood that those projects will be completed. But I think then you have to look at what's the probability is of originally scheduled 2013 startups actually occurring in 2013 or whether some of those projects get deferred into 2014. Overall, looking at the last several years, I think that the market has demonstrated quite a good capacity for absorbing the output of these new projects. The market has stayed in pretty good shape overall despite the ups and downs in Chinese exports, despite the lumpiness of new capacity coming on. And we're very pleased with the long-term outlook, and that's why we're making the investments that we're making.
Operator: Your next question comes from the line of Mark Connelly of CLSA.
Mark W. Connelly - Credit Agricole Securities (USA) Inc., Research Division: Steve, I wonder if we could switch to MAP and DAP. It looks to me like your inventory levels might be low relative to the industry. I'm not sure if that's right. Just curious how you think the U.S. MAP and DAP is shaping up for the spring. And if India doesn't get its act together, what would you see as the domestic market outlook, assuming that we don't see the export market come back very quickly?
Stephen R. Wilson: Bert?
Bert A. Frost: We maintained a low inventory level throughout 2012, and most likely, we'll continue to do so, marketing our product on a regular basis. Regarding India, India has been a big consumer of world phosphate, and their moderating levels of subsidy support, what that will be this year is still unclear. But we expect that to be settled sooner rather than later due to the fact that they just need to get product moving on a regular basis, both -- I'd say all 3 products, N, P and K. And so the phosphate market, as I said earlier, should continue to improve over time because of the dynamics of South America, India, as well as improving agricultural dynamics in the former Soviet Union. And I think for the United States market, the reason why you're seeing us be successful and continue to market on a regular basis is the lack of consignment on CF's position.
Operator: Your next question comes from the line of Andrew O'Conor of BMO Asset Management.
Andrew O'Conor: With the amount of CapEx planned to be spent on expansion in 2013, $1 billion to $1.3 billion, what percent of project completion do you guys expect by year-end 2013 for Donaldsonville and Port Neal?
Stephen R. Wilson: Well, we spent about $120 million in 2012. You add that to the $1 billion to $1.3 billion and subtract the sum from $3.8 billion, and that's what you get for what's left. Now it looks like -- I haven't done the math. It looks like 35%, 40%, something like that.
Andrew O'Conor: Okay. And then, Steve, would you say that the capital expenditures are being spent any faster than was originally envisioned or that somehow some monies originally intended to be spent in 2014 are now being spent this year, 2013?
Stephen R. Wilson: We're on a very aggressive timetable. We want to bring these projects online as quickly as we can. So the extent to which we find equipment pricing that we like, we lock it up, we'll put money down. The extent to which we can get other parts of this project tied down, we will be -- we're not looking to spend money fast just to spend it fast, but we want the commitments in place, we want the timetable to be assured, and we want our costs to be under control. So we're being prudently aggressive, put it that way.
Operator: Your next question comes from the line of Joel Jackson of BMO Capital Markets.
Joel Jackson - BMO Capital Markets Canada: A couple of questions. There's been a lot of debates recently about residual nitrogen levels in the soil, but I've also heard a lot anecdotal evidence, a lot of anecdotal data points to say that a lot of farmers, more on the northern side in the states, are going to actually increase usage rates. Maybe you can talk about that part of the discussion, please?
Stephen R. Wilson: Bert?
Bert A. Frost: Regarding the residual nitrogen, we just don't see that. We anticipate full utilization of nitrogen in 2013 and beyond. And then in the northern tier, that is taking place, so we see that almost done on an annual basis, the continued demand increase in North Dakota. As you look at the heat map for corn and where corn has gone over the last 20 years and taken over wheat area, you're just having a net increase, one, because of crop change but, two, because of yield potential in these areas and the change in seed technology has necessitated an increase in nitrogen. That being said, we're very positive on the northern territory, as well as Canada, going into 2013 due to the lack of applications that took place in the fall of 2012. So that will be a net pick-up for us in the spring. So we're encouraged by the total demand, as well as the forward demand for nitrogen in the northern tier.
Joel Jackson - BMO Capital Markets Canada: Okay. Finally, maybe I'll go a bit to the left field, which is obviously your KEYTRADE investments. And Dennis and Steve, you're on KEYTRADE board. KEYTRADE announced something earlier this week with the polyhalite junior developments in England, Sirius Minerals signing an MOU if that company can raise $1 billion to build that mine. I wanted to -- maybe if you can talk about the opportunity in polyhalite. Is this just a risk-free MOU? And have you had some experience with ICL, which is mining a bit of polyhalite right now on a trial basis out of a mine, existing mine right near there that led you to have some confidence in this?
Stephen R. Wilson: Bert?
Bert A. Frost: Yes, we're very excited about what is taking place with KEYTRADE. There's a number of initiatives that they are participating in. They're net positive to KEYTRADE as well as to CF. It gives us a viewpoint into the different markets, different products, different relationships, and so you can see the leverage ability that we have with KEYTRADE. Not only is it a great relationship within the company, but they have tremendous relationships in the world, and this is just an example of that, that they would be viewed as a trusted marketer of products to many different companies. Regarding that product, we have met with the company just like we've met with many different companies on opportunities for investments and new mines or new production assets around the world and through that relationship, pass it on to our friends at KEYTRADE. And so it is another opportunity for specific fertilizer products? That's what they're investigating. They're spending the time and the resources to develop new markets. It does have a K component as well as an S component and some trace elements that are net positive to many different markets around the world. But it's more of a specialty product than a bulk product that will be utilized worldwide.
Joel Jackson - BMO Capital Markets Canada: Has KEYTRADE been selling some of the polyhalite or using it, some of it through ICL's existing operation?
Bert A. Frost: At this point, KEYTRADE is beginning a relationship with the Sirius people.
Operator: Your next question comes from the line of Chris Parkinson of Credit Suisse.
Christopher S. Parkinson - Crédit Suisse AG, Research Division: Just very quickly, you mentioned domestic nitrogen demand in the Ukraine several times in your release. Can you just comment on any potential effects this may have on the global market, particularly if exports in North Africa continue to have issues?
Stephen R. Wilson: Well, what we're seeing is an increase in AN, which is having a positive impact on the producers of UAN, AN and urea in that market. And so as you see a progression and a growth and a maturing of the Ukrainian agricultural market, you're seeing a parallel increase in demand in fertilizer. We see this as a net benefit to the market, and that has been translated into a decrease in UAN supply to the United States. Relative to AN for North Africa, you do see a greater degree of ammonium nitrate used in Northern Africa for fertilizer as well as for production of phosphate or N-P-K products. And so those are both benefits. As that demand increases, that consumes the supply out of that region.
Christopher S. Parkinson - Crédit Suisse AG, Research Division: And just a real quick follow-up. You touched on this a little bit, but can you just run through what you've seen in the phosphate market, particularly in the Americas, over the last few weeks and if you see any positive developments there?
Stephen R. Wilson: Yes, in the Americas, Brazil has just coming out of their Carnival holiday season, and they're in the heat of the harvest of soybeans and planting the second-crop corn. Argentina is also beginning their harvest process. So the focus now is on that. That being said, they've had a draining or a decreasing of inventory for all products, and we think they will reposition earlier than normal because of the logistical constraints that they experienced, this year with the merged cost being higher than the probably net profitability per ton. And it's also being expressed right now in the difficult to export their agricultural products that are processed or harvested. And so we see South America, specifically Brazil and Argentina, anticipating their purchases, and then Mexico, South America and that region continuing on a normal basis.
Dan Swenson: Tony, we're going to end our Q&A with that question, and at this point in time, I'm going to hand the call over to Steve Wilson to make some closing remarks.
Stephen R. Wilson: Thanks, Dan. I just like to put the last 2 years into a bit of perspective. 2011 and 2012 put together, we had revenues of $12.2 billion. And on that $12.2 billion, we earned EBITDA of $6.3 billion. That's, to me, a testament of the earnings power of this company. Certainly, the 2012 experience begins to build evidence for the sustainability of our business model. The shale gas revolution has obviously provided us with a cost profile that is extremely competitive on the world stage. So we are very comfortable with our strategic position. We're very comfortable with the investments that we're making, and we're comfortable with our whole capital deployment strategy. It's a great time to be in the nitrogen business, and it's an even greater time to be CF Industries. So thanks to all of you, again, for participating on the call. If there's anything more you'd like to learn about the company, Dan's open for business. Thanks.
Operator: Thank you for your participation in today's conference. This concludes the presentation. You may now disconnect, and have a great week.